Operator: Greetings, and welcome to The Real Good Food Company First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Shamari Benton, Vice President of FP&A and IR. Thank you, Shamari. You may begin.
Shamari Benton: Good morning, and welcome to The Real Good Food Company's First Quarter 2023 Earnings Conference Call. On the call today are Bryan Freeman, Executive Chairman; Jerry Law, Chief Executive Officer; and Akshay Jagdale, Chief Financial Officer. Our first quarter earnings release crossed the wire at approximately 8 A.M. Eastern Time today. If you've not had a chance to review the release, it's available on the Investor portion of our website at www.realgoodfoods.com. Before we begin, I'd like to remind everyone that certain statements made on this call are forward-looking statements within the meaning of federal securities law and are subject to considerable risks and uncertainties. These forward-looking statements are intended to qualify for the safe harbor from liability established by the Private Securities Litigation Reform Act of 1995. All statements made on this call today, other than the statements of historical fact are forward-looking statements and include statements regarding our projected financial results, including net sales, gross profit, gross margin, adjusted gross profit, adjusted gross margin, and adjusted EBITDA as well as our ability to increase our net sales from existing customers and acquire new customers, introduce new products compete successfully in our industry, implement our growth strategy and effectively expand our manufacturing and production capacity. Forward-looking statements made on this call represent management's current expectations and are based on information available at the time such statements are made. Such statements involve a number of known and unknown uncertainties, many of which are outside the company's control and can cause future results, performance, or achievements to differ significantly from the results, performance, or achievements expressed or implied by such forward-looking statements. Important factors and risks that can cause or contribute to such differences are detailed in the company's filings with the Securities and Exchange Commission. Except as required by law, the company undertakes no obligation to update any forward-looking or other statements herein, whether as a result of new information, future events or otherwise. In addition, throughout this discussion, we refer to non-GAAP financial measures, which refer to results before taking into account certain onetime or nonrecurring charges that are not core to our ongoing operating results and which we believe better reflects the performance of our business on an ongoing basis. Our non-GAAP financial measures include adjusted gross margin and adjusted EBITDA are referenced. A reconciliation of each non-GAAP financial measure to its most directly comparable GAAP financial measure is included in our first quarter earnings release, which is available on our website under our Investors Tab. With that, it is my pleasure to turn the call over to The Real Good Food Company's Executive Chairman, Bryan Freeman.
Bryan Freeman: Thanks, Shamari. Good morning to everyone, and thank you for joining us today on our first quarter earnings call. I will briefly review our first quarter highlights and discuss the reasons we believe we're well positioned for long-term growth. Jerry will cover operations and Akshay will then review our financial results and outlook in more detail. After that, we'll open the call for questions. Starting with our financial highlights for the first quarter. Net sales were $29.8 million, an increase of 78% on a two-year stacked basis. Growth on a year-over-year basis was negatively impacted by the timing of promotional events that boosted sales in the first quarter of last year, but are scheduled to repeat in the second half of 2023. Excluding these transitory timing issues, sales would have been up double digits on a year-over-year basis, driven by strong baseline velocities and continued distribution gains. Baseline velocities, which exclude the impact of promotions, grew approximately 8% sequentially in the first quarter when compared to the fourth quarter and the trailing nine-month average. We're able to leverage this velocity growth with our retail partners to grow our distribution and extend our brand into new categories of eating occasions. Gross margins were 16.7% this quarter, which is 300 basis points improvement sequentially in the best margin in the last eight quarters. What is particularly noteworthy about this performance is the fact that we achieved this while our plans were less than 40% utilized. Adjusted gross margins, which account for the capacity utilization impact were 33.5%, a 580-basis point improvement sequentially in the best quarterly adjusted margin in the company's history. Margins in the first quarter reflect improved operational performance and seasonally low commodity costs. Our operating performance should continue to improve even more sequentially, and we expect commodity costs to remain at or below historical norms, albeit following normal seasonality. We now have greater conviction in meeting our 2023 revenue target of at least $200 million due to the incremental wins we have secured over the last few weeks and months. In the measured channel, we have secured approximately 57,000 new distribution points for our products to ship in 2023, which represents an approximate 43% year-over-year increase in our distribution footprint. This includes approximately 14,000 new distribution points that were recently authorized at a large national grocery retailer for entrees, burritos, and chicken bites with 7,000 of the aforementioned distribution points set to increase in the second half of 2023 and the remaining in January of 2024. These gains also included the previously discussed national rollout of two of our breaded poultry items at a large mass retailer in June with placement in a section of the store that had 6x the velocity as compared to our current placement as well as the national rollout of our multi-serve Asian entrees. As we've said in the past, due to new item reset schedules in the measured channel, this new distribution will come online late in the second quarter and into the back half of 2023. As such, the shape of our growth this year remains back half weighted. These wins have the potential to double our measured channel business on a run rate basis starting in the second half of 2023. Now turning to the unmeasured channel. We have strong conviction in our ability to meet or exceed our 2023 plan owing to three factors. First, I am pleased to report that our breaded poultry will be available nationally and in full distribution in the unmeasured channel late in the third quarter. This is a big milestone that we have strived to achieve since launching the item in early 2022. Our breaded poultry velocity and incrementality to the category have earned this expansion and is helping grow category sales for our customers. Our other items such as our Creamy Poblano Enchiladas and Bacon-Wrapped Jalapenos have also earned full distribution in the back half of this year due to their strong performance in the current and prior periods. Second, our recently launched Flautas and Low Carb Refrigerated Burritos have performed well, resulting in expanded distribution of these items. And third, the breadth of our offerings is unprecedented for a brand in our stage of growth and points to the momentum we have. We have a total of eight items authorized in this channel across seven categories and two temperature states. Summarized unmeasured channels provide additional perspective. In 2021, we had two items that on a combined and annualized basis achieved 65% ACV. For 2022, we grew to three items with a combined and annualized ACV of 68%. Currently, we have eights items authorized to participate in seven categories and two temperature states. For perspective, we've never had more than four items authorized simultaneously. All of this is to say that our strategy to expand into new categories across two temperature states is working and creates a strong foundation for durable, predictable growth going forward. The aforementioned new distribution gains, combined with strong base business velocity give us confidence that we will grow sales in 2023 to at least $200 million, representing growth of approximately 41%. Jerry and Akshay actually will speak to this in more detail, but I wanted to touch on our margins this quarter once again and provide a high-level view of how we see the rest of the year shaping up. Costs for chicken, cheese, and bacon has come down from historical highs and are currently at or below their long-term historical averages. We continue to expect commodity costs to have a 6-to-10-point positive impact on our margins in 2023, assuming current trends hold. Additionally, as we continue to ramp up production at our Bolingbrook facility to meet demand, we expect these efficiency gains to be a significant contributor to margins in 2023 and beyond. And of course, with greater plant utilization, our margins on a reported basis will continue to improve over the coming quarters. Adjusted EBITDA was a loss of $1.2 million, which was in line with our expectations and includes the impact of significantly higher-than-normal R&D costs in support of our strong second half growth agenda. As for 2023, we expect adjusted EBITDA in the mid- to high single-digit range, driven by lower commodity costs to a lesser extent; lower labor, improve plant utilization, and better overhead cost leverage. Cash flow from operations is also expected to be positive in 2023. Next, let's take a step back and look at the current state of the health and wellness market and how our brand positioning is resonating with a broad consumer base. According to SPINS for the 52 weeks ending April 30, $200 billion total health and wellness industry grew 7% year-over-year, in line with the 7% two-year CAGR. Over the same period, the $65 billion total frozen food category grew 10%, an acceleration compared to the 7% two-year CAGR. It's important to note that the frozen food category has historically performed well during recession as it tends to benefit for consumers trading down from eating out to eating more at home. Also private label penetration of frozen category is relatively low and at about 9% to 10% as compared to 20% to 22% on average across all food categories and private label penetration, health and wellness frozen is even lower than that of overall frozen food category. As such, trade down risk within the category to lower-priced private label options is limited. Additionally, our distribution footprint is focused on retailers that deliver value to their consumers, and we have low concentration with luxury, high-end retailers that typically lose foot traffic during the economic downturn. Our brand promises three primary claims: low carb with little to no sugar, high protein, and clean ingredients. Products with these attributes are growing well above the growth in our overall total addressable market. All things considered, the categories we compete and remain highly relevant as evidenced by their large size and strong growth profile. Moreover, there are no signs of a slowdown despite the lapping of the pandemic bump and/or an economic recession, given frozen foods historically performed well in a recessionary environment. As for our brand health, we track ourselves against four indicators: household penetration, repeat rate, social community growth, and engagement and velocity. Starting with household penetration, according to numerator data as of March 2023, The Real Good Foods brand household penetration is 8.3%, approximately flat from 8.4% in December of 2022. This means approximately one in every 12 households in the United States has purchased our products in the past 12 months. Our household penetration continues to rank second amongst all health and wellness frozen food brands behind only Amy's, a brand with over $500 million in retail sales. And for a perspective, according to a research report recently published by Jeffrey. The entire plant-based food category had a household penetration of 5%, down from a peak of 9% a couple of years ago. Increasing household penetration demonstrates how well our brand position resonates and how quickly we can connect with a broad consumer base. We view this as a leading indicator of future growth. And as our distribution footprint grows in the back half of this year, we expect to see our household penetration grow significantly. Turning to repeat rates, they continue to be in line with industry averages at 32% in the most recent trailing 52-week data as of March 2023. Regarding social community growth, we continue to grow Real Good Foods online community. In the first quarter, our social and digital teams continue to outperform. We generated over 3 million organic impressions and 108 million total brand impressions. We also acquired 5,000 new SMS text subscribers and added 31,000 followers on Instagram, bringing our total to over 466,000 Instagram followers. We continue to believe that using micro and nano content creators to spark authentic peer-to-peer conversations is a better use of marketing dollars than traditional advertising. Based on our number of followers and subscribers, I could say it's working and it's efficient. This is reflected in the strong returns we get on our ad spending, which averages 4x to 6x as measured by third parties, far higher than our peers on average. Our retailer partners appreciate how we drive new consumers to the categories we participate in also, allowing Real Good Food to truly grow the frozen category with consumers new to frozen foods rather than simply taking share from others. In fact, a recent study from SPINS showed that only 3.5% of households have purchased our breaded poultry items were from households that purchase breaded poultry from the nation's largest brand in the prior 52 weeks. This generates incremental category growth I've not seen before in my career. It means our growth is not only good for us, but it is good for our retail partners as well. These strong brand health indicators underpin our confidence in achieving over $500 million in sales over the long-term. I'd now like to turn the call over to our CEO, Jerry Law, to provide an update on Bolingbrook and our operations more broadly.
Gerard Law: Thank you, Brian. Good morning, everyone, and thank you for joining us on today's call. Our Bolingbrook, Illinois facility is continuing to ramp up production, and we are on track to achieve targeted efficiencies in the second quarter. I am very proud of the team and how far we've come since opening a new facility. Bolingbrook enables our entry into exciting new categories and gives us much needed capacity to meet the growing demand for our new and existing products. I was pleased with our gross margin performance in the first quarter, which was above our expectations. Our 16.7% gross margin is particularly encouraging, given that our plants were significantly underutilized owing to the cadence of our sales plan, which points to the first quarter being the trough for utilization. For perspective, our sales plan calls for a doubling of our capacity utilization rates by the end of the year relative to the first quarter. Adjusted gross margins, which assume full utilization were 33.5% and point to the underlying margin profile of the business when the plants are fully utilized. We have been deliberate about building capacity ahead of demand. All the hard work and investments made to get this capacity up and running over the past 12 months has put us in a position where we are confident that we can scale production to meet our significant growth our sales team has locked in for the rest of the year. Not only are we in a good position to meet our demand needs, we expect to do so at targeted efficiencies. In other words, our growth should be highly incremental to the margin structure for the remainder of the year, especially in the second half of 2023. Lower raw material costs contributed to our solid margin performance in the quarter, but it also reflects improved efficiencies in our formulations, which we had planned for and are durable. This was a tough quarter to judge plant efficiencies given the sub-40% utilization levels as well as the amount of new product activity, both of which have a negative impact on efficiencies. However, I am encouraged by the sequential improvement in efficiencies at Bolingbrook and City of Industry continues to perform well. Moreover, we expect our operating performance to improve significantly as the year progresses, driven by better efficiencies, lower labor costs, improved plant utilization, and better overhead cost leverage. Before I turn it over to Akshay, I would like to discuss the biggest catalyst for the remainder of 2023. We expect our labor cost to continue to come down sequentially as Bolingbrook becomes a bigger portion of our production mix and achieve targeted efficiencies, further aided by continued efficiency gains at our City of Industry facility. We are confident in our ability to bring labor costs in line with industry standards of about 5% to 10% of sales. To reiterate, we expect a major portion of this opportunity to flow through this year as efficiencies are optimized at both plants and Bolingbrook becomes a bigger portion of our production mix. Additionally, higher sales will drive plant utilization rates higher and allow us to leverage lower overhead costs. We expect this overhead leverage to drive approximately 10 points on our further improvement in our margin profile in the second half of 2023 as compared to the first half. Lastly, Bolingbrook has enabled significant productivity savings that have already started to accrue as we move into 2023. These include the self-manufacturing of our chicken tortillas, cooked chicken that is used in our product fillings, and our proprietary breading blends, which on a combined basis are likely to drive approximately 200 to 400 basis points of margin improvement. As for direct material inflation, the good news of the commodity costs remains favorable and point to roughly a 600 to 1,000 basis point tailwind for 2023. In summary, although we walked away from some promotions in the first quarter that negatively impact sales, it was all done with a keen eye on margin targets. We are pleased by our margin performance this quarter, which showed significant sequential improvement to the highest margin in our company's history. We continue to expect 2023 adjusted EBITDA to be in the positive to mid-high single-digit millions of dollar range. We have strong visibility into the drivers of our continued margin turnaround and feel confident in achieving our outlook. It's an exciting time at Real Good Foods, and I am thrilled to report the tremendous progress of our supply chain and operations teams have made all in order to support our growing demand. I still believe we are in the very early innings of growth and are well positioned to capture market share in the categories in which we compete. Now I'd like to turn the call over to Akshay, our Chief Financial Officer, who will walk you through the first quarter financials.
Akshay Jagdale: Thank you, Jerry, and good morning, everyone. Turning to our financial results. Net sales in the first quarter were $29.8 million, a decrease of 21% as compared to the first quarter of last year. The year-over-year decline in sales this quarter was driven primarily by the timing of certain promotional events that drove sales growth in the first quarter of last year, which now fall in the second half of this year. Excluding these promotional timing issues, sales would have been up double digits this quarter, driven by continued distribution gains in the measured channel, new product, and strong baseline velocity. Underlying velocities remained strong and were up sequentially in the first quarter. Sales in the unmeasured channel declined by approximately 35% year-over-year in the first quarter, owing to the aforementioned promotional timing issue. Excluding the impact of promotions, sales would have been up in the mid-teens on a year-over-year basis. On a two-year stack basis, growth remained strong at 77%. We expect growth to accelerate both on a year-over-year and two-year basis for the remainder of the year. As you may recall, eight items were authorized for distribution in March, which is a two-fold increase in the number of items we have ever previously had authorized at any one time. Several of the new items authorized are in categories that have 50% higher velocity than our base business, and as such, will be additive to our brand level velocities in this channel. Points of distribution in the unmeasured channel, which are a good proxy for volume growth trough in March as we were transitioning into newer versions of our legacy product and had yet to gain distribution for our new products. Distribution has increased substantially in the second quarter, and we expect this trend to continue as the year progresses on the back of the significant new distribution wins already secured, growth in legacy item distribution as well as commitments to certain planned promotional events. Since we reported 4Q earnings in late March, we have gained greater visibility on the outlook for growth in this channel. Specifically, we now have commitments for nationwide distribution of our breaded poultry as well as our 2.0 enchiladas in the second half of 2023. These commitments, combined with our new product wins, gave us greater confidence in achieving our 2023 sales target for the unmeasured channel. In the retail channel, growth was flat in the quarter as we lapped 76% growth in the first quarter of 2022. Including the impact of promotional timing, sales growth would have been in the mid-single digits on a year-over-year basis. Shipment growth outpaced consumption this quarter, which we attribute to the new product activity that is yet to be captured by syndicated data and usually takes 90 days to integrate. We expect both shipments and consumption to accelerate for the remainder of the year, starting in the second quarter, driven by the aforementioned 40% increase in distribution points already secured and strong owing baseline velocity. Underlying velocities on average across our portfolio remained strong and improved by approximately 8% sequentially in the first quarter. We expect velocity to continue to improve sequentially and show year-over-year growth starting in the second quarter as the comps normalize and we gain further distribution on new items that have higher velocity. As such, we remain bullish about our prospects for measured channel growth in 2023. As Bryan mentioned, we now have greater conviction in meeting our 2023 revenue target of at least $200 million in sales. The increase in our conviction is based on the following: one, continued strong momentum on distribution expansion in the measured channel, including approximately 14,000 new distribution points at a large national coastal retailer; two, commitments for national and full distribution of our breaded poultry and 2.0 enchiladas in the unmeasured channel; three, sequential improvement in baseline velocities; and four, strong new item velocities and incremental distribution growth. Our first quarter gross profit was $5 million, reflecting a gross margin of 16.7% of net sales as compared to a gross profit of $4.2 million or a gross margin of 11.3% of net sales in the first quarter of last year. The increase in gross margin was primarily due to lower commodity costs and the positive impact of our productivity initiatives, which include reformulations and throughput increases. The 16.7% gross margin performance this quarter implies an approximate 300 basis point sequential improvement, which is particularly encouraging given the fact that our plant utilization remains below 40% and declined sequentially. Adjusted gross profit during the quarter was $10 million, reflecting an adjusted gross margin of 33.5% of net sales as compared to $6.5 million or 17.2% of net sales in the first quarter of last year. Productivity initiatives and lower commodity prices contributed to the year-over-year increase in margins. Would also note that certain key commodities like chicken, pork, and cheese were at seasonally low levels in the first quarter and contributed to our adjusted gross margin being the highest in the company's history. Although we exited 2022 with structurally lower costs given the cyclical nature of some of our key commodities, we expect our adjusted margins to moderate in the second quarter as we absorb the impact of seasonally higher costs for some of our key commodities. With that being said, we are maintaining our adjusted gross margin guidance for 2023 of at least 24%. Looking ahead to 2023 and beyond, we have a long runway of future productivity savings that will drive incremental margin expansion. Additionally, as Jerry mentioned, the cost of our key commodities are down significantly on a year-over-year basis and if you were to lock in our key commodities at current spot rates, our margins in 2023 would be 600 to 1,000 basis points higher. Total operating expenses were $15.7 million as compared to $12.9 million in the first quarter of 2022. Adjusted operating expenses increased by approximately $2.5 million to $12.7 million in the first quarter of 2023 as compared to $10.2 million in the first quarter of 2022. The increase in operating expenses was driven entirely by the increase in research and development costs to support the strong new product pipeline in 2023. For perspective, R&D costs were $3.1 million or 10.3% of sales this quarter and are expected to moderate as a percent of sales for the remainder of the year. We continue to expect R&D costs to be roughly 3% to 4% of sales for the full-year. R&D costs tend to be lumpy on a quarterly basis, depending on the level of new product activity as well as the timing and scale of commercialization. Adjusted EBITDA totaled a loss of $1.1 million as compared to a loss of $3.3 million in the first quarter of 2022. This was generally in line with our expectation. Cash burn was greater than expected this quarter, owing to our plants being significantly underutilized as a result of the shift in promotional timing we talked about earlier. We also invested in inventory to support the significant new product activity in the quarter as well as some opportunistic buys to take advantage of lower commodity costs. We have strong visibility into our distribution gains in the upcoming shelf retail cycle in May, which includes the national rollout of our breaded poultry items at a large mass retailer. This significant inflection in our sales growth starting in the end of May and early June should result in significant fixed cost leverage across our plant network and in G&A, propelling us to be closer to our goal of being operating cash flow positive starting in the second half of 2023 and for the full-year. As such, we have sufficient liquidity to fund our current needs and execute the plan we have laid out. As a reminder, it is important to note the Bolingbrook facility and equipment is being leased with costs flowing through the P&L. Now turning to our outlook for 2023. In 2023, we continue to expect net sales of at least $200 million, adjusted gross margin of at least 24%, adjusted EBITDA in the mid to high single-digit range and positive cash flow from operations. Long-term, we continue to expect net sales of approximately $500 million, adjusted gross margins of 35%, and adjusted EBITDA margins of 15%. This concludes our prepared remarks. I would now like to hand the call over to the operator to begin our Q&A session. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Jon Andersen with William Blair. Please proceed with your question.
Jon Andersen: Good morning, everybody.
Bryan Freeman: Good morning.
Jon Andersen: I wanted to start with – trying to better understand some of the new news versus the prior quarter. Could you describe a little bit more specifically what has improved from a distribution standpoint? I think we knew last quarter that you had achieved significant new distribution on breaded poultry with a large mass customer. But if I'm interpreting the prepared comments correctly, it sounds like you've also added significant new wins, both maybe in Asian entrees and with breaded poultry in nonmeasured. So could you just kind of tease out what's incremental to what we had heard on the last call? Thanks.
Bryan Freeman: Hey. Good morning, Jon. This is Bryan. In the measured channel, you're right, you're exactly right. A large national retailer, recently authorized four of our multi-served entrees into all banners, all stores with great placement. So we see that kind of rolling out in Q3. And that's just because I think we do have that product in stores today and retailers are starting to see the velocities and the incrementality that we're delivering. In the unmeasured channel, yes, the new news is breaded poultry will be available nationally in full distribution in late Q3. And that's something that we've really been working hard on, again, incremental revenue for our retail partners, and so we're helping them grow the categories and we were able to earn that placement, and we're pretty excited about the impact that will have on the company.
Jon Andersen: That's helpful. Thanks. And then kind of turning back to the rollout of breaded poultry with the large mass account, two questions about that. One is, what are you – what gives you confidence in the velocity performance there? I think you've been on shelf for some time with one item. And I'd just love to hear your comments on the trajectory of the velocity that you've seen on that item because that should be, I think, a pretty good predictor of how that business performs going forward as you take it nationally. And then what are in your assumptions for the guidance on those particular items? Are you baking in anything that we should be aware of with respect to the performance of that product once it rolls out nationally? I know it's moving into a new door. I think you're going to have two items on shelf instead of one today. So talk to us a little bit more about that. Thanks.
Bryan Freeman: You bet. So in the measured channel, you're right that our breaded poultry has been on shelf for almost a year now. And what we've seen is very stable velocity, very predictable business. And so that's the beauty of our guidance for the rest of the year. That the distribution expansion that we've obtained are all from products that have been on shelf for nine months and in some cases, almost 12 months. And in that category, in particular, you see very stable velocity, very predictable velocities. It's true that in the measured channel will be moved over into a door that has 6x the velocity of the current door that we're in. But of course, we're not going to include expected velocity gains in a meaningful way in our guidance. That's a discipline that we've maintained since we went public, and we continue to do so. So there might be some upside there. And we have the capacity to handle it if that occurs, but it's not in the guidance. On the unmeasured channel, the story is the same. I mean we launched in one region of the country back in early Q4 of last year. Product is still on shelf today, obviously, it's expanding, and we see nice stable velocities as well, and that's why we were able to earn the national distribution that will get in Q3. So part of its category dynamics, a stable category with predictable velocity. But to be really clear, we don't include expected velocity gains in a meaningful way in the guidance.
Jon Andersen: Okay. And maybe one more follow-up. I don't know, this might be for Jerry or Akshay. On the gross margin, strong on an adjusted basis in the first quarter at north of 33%, you're guiding, I think, at least $24 million for the full-year, which would imply a pretty significant come down as we move forward. Is that just conservatism given everything you have going on from a new distribution perspective, ramping up Bolingbrook? How should we interpret that? And how do you see the kind of the cadence of gross margin playing out from here through the balance of the year? Thank you.
Bryan Freeman: I'll turn this to Akshay, but before I do, at a high level, I think it's prudent not to change guidance at this time. And for me, at a high level, it's really about plant utilization – is really where the opportunity is. It's just so obvious. But Akshay, why don't you go ahead and jump in on that one.
Akshay Jagdale: Yes. Thanks. Hi, Jon, so great question. So the way you want to think about it is you've looked at the numbers in our guide, we didn't change the guide. It implies roughly 24% adjusted gross margins for the rest of the year. Certainly, there's some conservatism in there, but I think it's prudent because there's plenty of a year to go. However, the way you want to think about the building block is this quarter, the commodity cost benefit was higher than it will be, all else equal by about 350 to 400 basis points. And why? because some of our key commodities like chicken and cheese and bacon are at the seasonal low points in this quarter, okay? So that won't sustain. It's still going to be beneficial year-over-year. But you got to walk it down 300 basis points if you're looking at the next four quarters from a commodity perspective. And then you got to add labor and overhead as significant contributors for the remainder of the year with all the initiatives that we have in place. So the overhead piece, as Bryan mentioned, really easy to understand with the volume that we have coming, we're going to increase our utilization rates from 40% to 80%. That's going to have a tremendous positive impact on overhead leverage and cash flow, right? So that's easy. And on labor, every pound coming out of Bolingbrook is going to be accretive to our overall labor cost. And we're going to have more and more pounds coming out of Bolingbrook and more and more breaded poultry pounds, which are very efficient from a labor perspective. So our labor costs are still 17%, 18% of sales. They were the same in 1Q. So we've been talking about labor as a huge driver of savings and that has yet to accrue for a number of reasons, but it's all timing related. It's in our control, great visibility. There's 700, 800 basis points that will accrue in the next nine to 12 months on labor. And that's why we continue to feel really good about our guidance on operating cash because we're about to turn the corner in a major way on these value drivers. Did that help?
Jon Andersen: Yes. Very helpful, Akshay. I appreciate all the commentary. And good luck. It sounds like an exciting three quarters coming up.
Bryan Freeman: Thank you.
Operator: Thank you. Our next question is from JP Wollam with ROTH Capital Partners. Please proceed with your question.
John-Paul Wollam: Good morning to everyone, and thanks for taking my questions. Maybe if we could just start. I think this is actually something that may have come out at the April presentation. But I wanted to just focus on household spend. And I think there was kind of a comment in that presentation about industry average being something around $50 and RGF only being at about $10. And I was just hoping maybe you could share kind of why that is as low as it is today? And maybe just how you get closer to that industry average? It seems like that obviously goes a long way towards your targets and just longer-term targets. So just kind of curious how that number ramps up closer to industry average?
Bryan Freeman: Yes. You're right. Great question, great insight to the category. Health and wellness brands average actually closer to $60 per household. So to tie that down, household penetration is really an indicator of future growth. And what it takes to get to that $60 is just more points of distribution. Why? Because the consumer needs variety in their basket. And so to give your perspective, the brands such as Amy's that achieved that kind of dollars per store, they're going to average over 40 to 50 items in any given grocery store. Today, our TPDs are so low, we're at $9 to $10. So that's number one. So our job is to grow our TPDs. Good news is, we said in our prepared remarks that we have over 50,000 new points of distribution, so that's going to help. And then the other thing, this is just me speaking on this. When you talk about breaded poultry, that's a higher frequency item, and I think that will grow our dollars per consumer as well. It's an item that's enjoyed by all of the households and it's a higher velocity area of the store. So look, at the end of the day, our low dollars for household shows the room for significant growth. How do we get there? We grow the number of items in the stores we are at, and we participate in higher velocity categories. Does that make sense?
John-Paul Wollam: Yes, I think that makes complete sense. I appreciate the color there. Maybe one more for Akshay. But just in terms of liquidity, I know we're a little post quarter end here. First off, is there anything remaining in terms of the revolver? And then second would just be in terms of kind of inventory and thinking about operating cash flow for the year, have you built inventory to a higher level than you would expect given kind of the distribution gains? And will we see any kind of major drawdowns that will benefit operating cash flow in concert with the shelf resets? So maybe that's a 3Q big drop. Any kind of color you can point out there and then just also the revolver availability. Thank you.
Akshay Jagdale: Yes. Good question. So we have sufficient liquidity currently under our revolver. And our plan remains to self-fund the business, and we've talked about turning the corner on turning operating cash flow positive here in the short-term with the resets that are ongoing. If we execute our plan, which we fully expected, we think we have an opportunity to actually refinance our debt at lower costs and increase our liquidity even further. So that's where we think we are from a liquidity standpoint, we have sufficient liquidity and access to more. Secondly, yes, inventory build was greater than expected this quarter. I think it's timing related and new product related. So that's what happened. So we had about $8 million of working capital related cash usage this quarter. And timing wise, it was somewhat unexpected relative to the original plan, again, because of everything we've talked about with the cadence of our sales plan. But absolutely, there's a big opportunity for us to reduce our days on hand for inventory. We're working really hard on it. When you're growing as rapidly as we are and expanding your base of products in the categories you compete in, you are going to see increased inventories temporarily, and that's what you're seeing. So it's a good problem to have. It's, let's call it, collateralized debt, right, that so it gets added to the borrowing base. So it's easy to borrow off of. But yes, we did increase inventory. We will lower it over time. But right now, we're in heavy growth mode, and that investment is absolutely necessary. We also, this quarter, made some opportunistic purchases of commodities like bacon that are going to accrue to the margin and cash flow for the remainder of the year. So hopefully, that helps. Did that answer your question?
John-Paul Wollam: Yes. I think definitely. Any color you can share about when the refinance? Or is it way too early to even kind of contemplate that?
Akshay Jagdale: Yes. We are not providing guidance specifically on that. We're focused on executing our plan. We have great support from our current lender. As you saw in March, we amended that facility and that should tell you the appetite that our existing lender has and the support that they continue to give us. But we have sufficient liquidity under our existing facility. So we don't to do anything. But opportunistically, if the opportunity comes up, certainly, we'll pull the trigger.
John-Paul Wollam: Great. Yes. And I'll pass it along. Best of luck. Thank you, guys.
Operator: Thank you. Our next question is from Rob Dickerson with Jefferies. Please proceed with your question.
Robert Dickerson: Great. Thanks, so much. I guess just kind of circling back to the guide, you kind of make sure I got everything. I guess what I'm hearing is, actually, you said 350, 400 basis points and kind of the step down given the seasonality and input costs. But then at the same time, right, it seems like there could be some incremental topline advantages in some of the poultry that's being rolled out in late Q3. And then we have the whole conversation around utilization of labor. So I guess prior question was are you being conservative? But even if you take that 350 to 400 basis point step down then – I mean it seems like gross margin this year should, in theory, be much better than the 24%, right? I know you're saying 24% or higher, but it just seems like it should be much better than 24%. So I guess like your why not take it up to like 26% or higher? Sometimes companies take it up a little bit. It sounds like you're being very prudent and careful in Q1, but all the commentary right now is super positive. So like is there anything that's just preventing you from saying, Hey, yes, we're doing an awesome job. And you know what, yes, it's going to probably be higher than 24%.
Akshay Jagdale: I'll take that. It's a good question. I think it's prudent for us to be appropriately conservative. Most of our commodities, as you know, especially the big ones are intangible. We are hedged advantageously on cheese right now, but chicken market can be quite volatile at times. And so we want to leave some room for that, things that are out of our control. And we've got to execute on our plan, and we are confident that we will. And let's see how we perform in the second quarter, and we'll reassess our guidance then, right? Because we got to get these pounds through the plant, and that's what we want to see happen. We know if we do that efficiently what the numbers will look like and you know that, too. But yes, I think once we do that, we'll have greater confidence and will be further enough in the year to be able to adjust our margin expectations. But certainly, we've had now two quarters of really good performance despite being 40%, 50% utilized. So yes, we are feeling better, but we've got to perform and we're going to let our results speak for themselves.
Robert Dickerson: Fair enough. And then, Bryan, just kind of want to circle back to, I guess, the breaded poultry conversation. You said – I think you said, correct me if I'm wrong, incremental, like fairly material distribution gain and a non-tracked channel, right? It sounds like that's – I'd assume that's club. And I just forget to follow. You are already in mass. So I'm just curious, as you think through kind of the potential here in breaded poultry and then there are other subcategories, right? Like you've spoken to Asian. There also is a comment that you made on the call about the two different temperature states. So I'm just curious, right now, kind of what I'm hearing on this call is we have visibility. I think the line was because of essentially the orders that have taken place. Like the orders are there. You know it's coming. You have to actually ship it, get it through the plant, have everything work. We're highlighting breaded chicken but given the success already of the brand, and I guess the two direct questions I have; are there other conversations with those other subcategories that maybe we're not highlighting as much, number one. And then number two is what the SKUs you're getting in nontrack in breaded poultry, the assumption here, right, is this is all incremental, right? Because it's in a different part of the freezer case and that's part of the broader plan, right, multiple locations within the freeze are dependent on the category. So there – this is all a step-up in incremental SKUs in nontrack, but then how does this benefit kind of the broader landscape of your overall SKU selection and conversations you're probably already having? That's it. Thanks a lot.
Bryan Freeman: Yes. I mean, our strategy in the unmeasured channel is to have a portfolio of products that are in two different temperature states and in seven different seven categories. So what you'll see play out in addition to breaded poultry, you're going to see a frozen breakfast item rollout. I should not say rollout. You'll see a frozen breakfast item in parts of the country. We have an appetizer item. Obviously, our entrees. It shouldn't go overlooked that our enchilada – our new poblano enchilada will be in full distribution in late Q3 as well. So the strategy behind it, Rob, is to have a durable, predictable business. And the way you get there is by having offerings that are in different eating occasions, in different dayparts, in different categories, and different temperature states. And if we do that, which – that's why you saw kind of a pretty significant R&D spend in the quarter, it's a great investment because that's where we land. That's how we get there. In the measured channel, the same is playing out as well. And then in terms of our innovation agenda, we plan on building SKUs around our winning breaded poultry that are exciting and new to the category and really begin building a brand block within the breaded poultry section. We like that category a lot, and we think that innovation in that category is long overdue, and we're working hard at it. And I think you'll hear us talk about that in 2024. Did I hit that – was that clear?
Robert Dickerson: Yes. No, I think that's clear enough. And maybe just one quick follow-up, too. As you mentioned, in R&D and then also to just touch on marketing, obviously, there can be operating leverage that will flow through the plants with higher revenue and the efficiencies. You've been highlighting since Day One, the success rate of social media, right, kind of how you're marketing the product. Is there any change potentially that could come to that strategy, not in a bad way, but in an incremental way? Either via trade spend or different channels of marketing and kind of demand, consumer push just to make sure people are aware of your brand, right? Because what you're doing seems to be working, but it still is a fairly new brand.
Bryan Freeman: When you look at our marketing spend as a percent of revenue, it's very, very low. And it's going to stay that way until we begin to make money and be significantly positive EBITDA. The good news is being the largest social – having the largest social media footprint of any frozen food and having these authentic conversations, we activate over 1,500 nano and micro influencers. It's really efficient, Rob. But in terms of really throwing money at the marketing side at some point in the future, you're not going to see us do that until we are making a lot of money. And what excites me about the quarter is that it shows the true potential that this business can – will make money in the future. All we got to do is get the pounds through the plant and the thing really starts to take off. So that's our philosophy. Priority 1A 1B, 1C, is to be cash flow positive and EBITDA positive in a meaningful way. We're going to do that first before we lean in any more on marketing.
Robert Dickerson: Super. Thanks.
Bryan Freeman: You bet.
Operator: Thank you. There are no further questions at this time. I'd like to hand the floor back over to Bryan Freeman, Executive Chairman, for any closing comments.
Bryan Freeman: Thank you for joining us on this call this morning, and we look forward to reporting our second quarter results in a few weeks. Have a good day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.